Operator: Greetings and welcome to Joby Aviation's Fourth Quarter 2024 Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Teresa Thuruthiyil, Joby's Head of Investor Relations. Thank you. You may begin.
Teresa Thuruthiyil: Thank you. Good afternoon and evening everyone. Thank you for joining us for Joby Aviation's fourth quarter and full year 2024 financial results conference call. I'm Teresa Thuruthiyil, Joby's Head of Investor Relations. Today we have remarks from JoeBen Bevirt, Founder and Chief Executive Officer, and Paul Sciarra, Executive Chairman. Didier Papadopoulos, our President of Aircraft OEM will join us for the Q&A portion of the call. Please note that our discussion today will include statements regarding future events and financial performance as well as statements of belief, expectation, and intent. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to our filings with the SEC and the Safe Harbor disclaimer contained in today's shareholder letter. The forward-looking statements included in this call are made only as of the date of this call, and the company does not assume any obligation to update or revise them. Also, during the call, we'll refer both to GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in our Q4, 2024 shareholder letter, which you can find on our Investor Relations' website, along with the replay of this call. And with all of that said, I'll now turn the call over to JoeBen.
JoeBen Bevirt: Thank you, Teresa and thanks everyone, for joining us today, as we discuss our full year 2024 results. Over the last 12 months we have delivered sector leading progress, across each area that is core to our business certification, manufacturing and commercialization. In the last quarter alone, we've made record progress on Stage 4 of type certification. We've delivered our second aircraft to Edwards Air Force Base. We've flown in Korea, our partners have broken ground on the first Vertiport in our Dubai network, and investors new and old have committed more than $1 billion of additional funding and commitments, including the recently announced $500 million from Toyota. Looking ahead, we see the coming year as an inflection point for Joby, and for our industry. We're moving from leadership on aircraft development and testing, to leadership on the delivery of service. By the middle of this year, we plan to have an aircraft in Dubai, where it will be used to demonstrate our readiness, to begin carrying our first passengers, which we target for later this year, or early next year. This will mark one of the most important milestones in our sector's history, and I'm so proud that Joby continues to lead the way. We are also leading the way on scaled manufacturing. Joby is the only air taxi company that has delivered multiple eVTOL aircraft, from a production line. With four aircraft delivered from our Marina facility to-date including one this past quarter. At the end of last year, we hit our target of delivering parts equivalent to one aircraft per month, and we continue to ramp up that capacity. That means we have the parts, and the aircraft to complete unprecedented levels of component, and subcomponent tests alongside an increasing cadence of flights. In a very significant moment for Joby, we used these parts to complete four credit testing, on a major aerostructure for the first time this quarter, and we completed our first ground based TIA testing, using a conforming flight deck. This was the first time that either of those achievements have been made in our sector. Once again demonstrating Joby's leadership. In terms of aircraft, we now have five in our test fleet, with a second aircraft delivered to the DoD at Edwards Air Force Base this quarter. We also deployed one of our aircraft, to Korea to become the first eVTOL to fly as part of their K-UAM Grand Challenge. Building on our recent demonstration in Japan. The progress we have made with testing both on the ground and in the air, means that we're now able to confirm that we expect to begin TIA flight testing in the U.S. The final step of the FAA certification process, within the next 12 months. And we laid the groundwork for that effort, by welcoming FAA pilots and technical staff, assigned to our certification program to Marina this quarter. They flew a series of tests in our simulator that, are exactly the same as those we intend to complete as part of our TIA flight testing. They also witnessed our pilots perform those same tests, as part of our ongoing inhabited flight testing campaign. Turning to our work with the DoD, there has been a lot of talk in recent weeks from other companies, about how much opportunity there is for eVTOL aircraft in the defense space. And I want to be clear that we share that view. But it's nothing new for Joby. We have been talking about defense technical, for more than eight years, and not just talking about it, but actually delivering on it. We have already trained U.S. Air Force pilots to fly our aircraft, We've already trained DoD mechanics to maintain them, and we're the only electric air taxi company, to have delivered an aircraft, to a government customer on base, which we've now done twice. We also understand the opportunity presented by hybrid eVTOL aircraft, and as we demonstrated in 2024, our vertically integrated approach enables us, to rapidly adapt our platform, with a hybrid powertrain to suit an expanded mission set. In July last year, we flew a hybrid - hydrogen electric eVTOL aircraft 561 miles, and we remain the only air taxi company to have demonstrated that capability, completing multiple 500 plus mile full transition vertical takeoff, and landing flights. The leading progress we have made on our core program continues to ensure that Joby is in the best possible position, to capitalize on wider opportunities, and with the renewed interest in U.S. leadership on innovation, we're excited about the opportunities ahead. The next 12 months, are going to be incredibly exciting for Joby, as we look to bring our service to life, and I'm pleased that our partners and our investors share that excitement. Over the last quarter, we've worked closely with Delta and Uber, to showcase our product and we continue to make important inroads, across key U.S. markets such as New York and L.A. We also continue to have one of the strongest balance sheets in the sector, and I believe it's a very significant signal that our existing investors and partners like Toyota and Baillie Gifford, those who know us best, keep deepening their investments and partnership in Joby. In the case of Toyota, their previous investments. and the additional commitments made recently far exceed the amount invested, by any other strategic investor in the industry. And we're excited to be working together to form a strategic manufacturing alliance as we look towards scaled production. Toyota is backed by stable management and a deep balance sheet, and they have a track record of long-term commitments, to solving tough challenges, something that cannot be said for all auto manufacturers these days. We have an incredible 12 months ahead of us, with goals that will really bring our technology to life. We have the team to deliver on those goals, we have the balance sheet to support them, we have the best possible partners alongside us, and we have supportive ecosystems here in the U.S. and overseas. This is our moment as an industry, and I'm proud that Joby continues to lead the way. Paul, over to you.
Paul Sciarra: Thanks, JoeBen. Turning to our results, you'll find detailed financials in our fourth quarter, and full year 2024 shareholder letter on our website, but I'll briefly summarize and share additional comments here. For the period ending December 31, 2024, we had cash and short-term investments totaling $933 million. This includes net proceeds, from an underwritten equity offering of $222 million in October, as well as $128 million in net proceeds, from the at the market offering we announced in December. We are working through the final steps of our agreement with Toyota, in order to access the first of two $250 million investment tranches expected this year, and I'm pleased to say all regulatory approvals, are now in place for that first tranche. When added to the $933 million in cash, and short-term investments on our balance sheet at year end, that would exceed $1.4 billion. Looking back at the fourth quarter of 2024, we incurred a net loss of $246 million reflecting a loss from operations of about $150 million, and other losses of $97 million. The other loss largely reflected the non-cash loss on the revaluation, of derivative liabilities of $107 million related to our warrants and earn-out shares, partially offset by interest and other income of $10 million. Our net loss increased by approximately $102 million, compared to the third quarter, with the difference primarily due to the non-cash loss we recorded on revaluation of warrants and earn out shares, reflecting the increase in our share price over the quarter. Adjusted EBITDA, a non-GAAP metric that we reconcile to our net income in our shareholder letter, was a loss of $119 million in the recently completed fourth quarter. Our adjusted EBITDA loss was approximately $23 million higher, compared to the same period last year, reflecting the growth in our organization, and expenses necessary to support manufacturing and certification. Change in cash, cash equivalents, and short-term investments during 2024, excluding the net proceeds from public offerings, was $450 million coming in as expected at the lower end of our guidance of $440 million to $470 million. As we look to the year ahead, we continue to focus on advancing our testing, and certification program as well as laying the groundwork, for first passenger operations. We expect our 2025 use of cash, cash equivalents and short-term investments, to be between $500 million and $540 million. This reflects our assumptions for hiring, in areas such as certification and manufacturing, higher R&D expenditures, which include building more parts, to support certification and manufacturing, as well as higher capital expenditures. As a reminder, with the support of a Cal Competes grant, we are expanding our manufacturing facility in Marina, California, more than doubling our footprint there, to support expanded manufacturing and flight training. This is expected to provide sufficient space, for more than double our annual production capacity, over time at this site. Additionally, we'll begin to have our Ohio facility, start building aircraft components to support production, and aircraft assembly in California. With these investments, you can expect our capital expenditure, to increase from the $41 million we spent in 2024, as we build out our facilities in both Marina and Ohio. As JoeBen stated at the top of the call, the next 12 months will mark a pivotal year, for Joby and our broader industry. We'll be delivering our first aircraft to Dubai in the middle of the year, and we have clear line of sight to beginning flight TIA testing and carrying our first passengers. We believe we continue to lead our sector on FAA certification, standing up scalable manufacturing, and preparing markets around the world for commercial operations. At Joby, we've always prioritized delivery, and building long-term value over short-term hype. The coming year will be no different. This concludes our prepared remarks. Operator, please begin the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Andres Sheppard with Cantor Fitzgerald. Please proceed with your question.
Andres Sheppard: Hi everyone, good afternoon. Congratulations on the quarter, and thanks for taking our questions. JoeBen, I'm wondering if you could maybe flush out a bit further, the opportunities that you see with the military, maybe both in the near term and longer term. I know you alluded to it on your prepared remarks. Just wondering if you can maybe elaborate a bit further, on what kind of opportunities you see expanding, with your relationship with the military? Thank you.
JoeBen Bevirt: Yes, thank you, Andres. I'll add a few comments there and then also invite Paul to share his thoughts. As I spoke about, we've been working with the DoD for eight years now, and those opportunities have really expanded significantly. And I think the DoD sees as, as we do, the incredible potential of the technology stack that we're building, and the vertical integration that we've embraced. And we think we can do a number of very important things as, as we look to the future, both with our current technology and our future technology. And with that, I'll also hand it over to Paul.
Paul Sciarra: Yes, thanks, Andres. I mean, I think what, when it comes to our broader government strategy. It's really a sort of continuation of the work, as JB mentioned that we've been doing for eight years. We always knew that the work with Agility Prime would be an important stepping stone, for broader opportunities across the DoD. And we are really pleased to have sort of, delivered on important milestones with that customer set. That includes, as mentioned, the delivery of now a second aircraft to Edwards, and an opportunity to train pilots, to give them training on maintenance. Really all of the building blocks that, will set us up for success when we think about broadening the opportunity to other government customers over time. We've, as we've mentioned in prior calls, we've already brought other groups like the Marines into a lot of that testing. And I think that sets us up well both to have really great visibility across the different opportunities within government, and now a demonstrated record of execution to kind of capture those opportunities. One of the things that I think was mentioned was the hybrid work. Longer range is certainly a priority for government customers, and we're really pleased to have shown that this is a platform that can be readily extensible, to those longer range missions with the 550-mile flight of the hydrogen hybrid aircraft that we demonstrated last summer.
Andres Sheppard: Got it. That's super helpful. I appreciate all that color. Maybe just as a quick follow-up, switching to Dubai. So you mentioned your plan to deliver an aircraft there this year, and to begin flights with passengers either later this year or early next year. I guess I'm curious if you can maybe share with us your vision in terms of what commercialization in Dubai might look like and kind of how quickly you see that market ramping up? Thank you.
JoeBen Bevirt: Thank you, Andres. So Dubai is an incredible opportunity for us. We're so excited about taking our first aircraft there, and beginning in market testing. We also are very pleased. I was with the Crown Prince when - we did the groundbreaking for the first Vertiport over there. And to see the excitement and the lean in from all levels of the Dubai government in this new age of mobility is really fantastic. The momentum is building, and as we get aircraft in market and begin testing, we think that's going to continue to be the case. And then as we look to scaling that, we're building out not just the Vertiports, but also the app and all of the pieces of the ecosystem, as we bring more aircraft to the market, and progressively grow that and build a really valuable, service for customers not just in Dubia, but across the region.
Andres Sheppard: Wonderful. Thank you very much again. That's super helpful. Congrats on the quarter and I'll pass it on.
Operator: Thank you. Our next question comes from the line of Chris Pierce with Needham & Company. Please proceed with your question.
Chris Pierce: Hi, good afternoon everyone. Just looking at the certification slide, the delta between the blue line and the gray line. Should we read anything into that, given headlines out of D.C. about staffing government agencies, and are you seeing anything on the FAA side that's maybe slowing things down on the certification front, or is it just normal kind of ebb and flow?
Paul Sciarra: Thanks a lot, Chris. This is Paul. Contrary to what it might look like, we actually had record progress in terms of FAA certification, of documentation last quarter. So every indication that we have at this point, is that the FAA is sort of fully engaged with our program, and doing the work that they need to do, as we do the work that we need to do. That was also on demonstration, as I think was mentioned in the sort of earlier prepared remarks. In a large FAA delegation that was down, to see the very same flight testing that the FAA themselves will do for TIA. So both in terms of documentation, both in terms of the level of engagement at the agency, we've seen really accelerating support and progress in terms of the work that they have to do. So in the, in the data, in the actions of the agency on a day-to-day basis, things seem great.
Chris Pierce: Okay. Perfect. And then you talk about the five aircraft in your test flight - test fleets. Is this helping you sort of get towards, like a production gate cadence? Maybe you could share guidance on. The reason I ask is I know that your fleet's going to be levered to air taxi operations versus OEM, and there's a lot of imprecision around modeling what that might look like. But if we could sort of, like if there was a production guidance cadence of a certification aircraft that sort of might help kind of lower the uncertainty there. I just, be curious around any sort of guidance you could give on production?
Paul Sciarra: Hi, Chris, this is Paul again. I'll answer a little bit of it, and then I might ask Didier to sort of comment on the manufacturing progress. But in terms of your comment on OEM versus fully vertically integrated look, it's important to note that we have really both models that we've been actively supporting. We think that there are going to be some markets, and some opportunity sets where a more fully vertically integrated model is appropriate. Like for example, here in the U.S. However, in other markets outside of the U.S., with other customer bases, we expect that the business model is going to look a little bit more like a sale and support, or lease model. So I think that we actually have an opportunity to blend both of those models, both now and in turn over time. Regarding the manufacturing side of things, we felt really good about where we stood with respect to overall volume, from the facilities last year. As was mentioned, we were at one aircraft's worth of parts per month, which was the goal for the overall year. The thing that we are focused on this year, is ensuring that an increasing number of those manufacturing lines, and parts that come off those manufacturing lines are conforming, that is built to sort of - FAA specifications. So this year is not so much about volume, but really ensuring that the parts that we build are appropriate, for the stage and certification that we're at. And the progress there has been quite good, at least on the composite side. We're already doing more than 95% of the composites on a conforming basis. So that's really good progress against that important goal this year.
Chris Pierce: Thank you.
Operator: Thank you. Our next question comes from the line of Savi Syth with Raymond James. Please proceed with your question.
Savi Syth: Hi, good afternoon. Can you provide a little bit along those lines? Just how many aircraft builds are you contemplating in that 2025 budget? And how many of those will be kind of more production, prototype versus certification conforming aircraft? And I'm guessing the aircraft that you plan to send to Dubai, is the production prototype and not certification conforming. But I just want to clarify that as well?
Didier Papadopoulos: Yes, thanks for the question. I'll jump in. This is Didier. I'll answer this by building a bit more on what Paul said. Key between last year and this year is, last year was highly focused on the manufacturing side, on building that manufacturing muscle, and the cadence in ramping up the airplanes, which we've demonstrated by achieving a capacity of one aircraft's worth of part by the end of last year. This year is going to be highly focused on, a mix of building parts that go towards FAA conformable airplanes, so complete airplanes, as well as a lot of parts that are going to go towards building FAA conforming test assets, or parts of airplanes, right. So we demonstrated last year, for example, that we built a fully conforming tail. We went through that test and finished that tail. We're going to be doing quite a bit more of these things this year. So this year, the manufacturing is going to be focused on a mix. That's the key thing. While at the same time we continue to increase the ramp up. And one of the key things about the ramp up is we're not stopping there, as can be seen by the expansion we're having in Marina, where we are growing our footprint. As well as the expansion that we're seeing here in Ohio, where we're also growing our footprint, and we'll start delivering parts this year. So the airplanes that we're going to be producing, are going to be a progression towards increased conformity one after the other.
Savi Syth: And the aircraft that you're sending to Dubai is…?
Didier Papadopoulos: The aircraft that we're sending to Dubai, is one of the airplanes that we have in our fleet today that's been demonstrated, flies on a regular basis, honestly most weeks. And that's a progression of those airplanes that we've been building, and we will continue to build throughout this year.
Savi Syth: I appreciate that, Didier. And maybe Paul, just a clarification on your - Toyota investment comments. Are there any milestones or commitments that you need to kind of finalize to unlock that first tranche? And also, is it fair to assume that the second tranche then will not be in 2025?
Paul Sciarra: Hi, Savi, this is Paul. I want to make sure I understand the question. So the question was, are there any commitments or deliverables that we need to do for the first and second tranche?
Savi Syth: Exactly, yes.
Paul Sciarra: So the short answer is yes, there are a number of sort of regulatory and in turn, business things that we need to sort of make sure that are done. Those have been moving forward well on the first tranche, and we certainly feel like they're going to move well on the second tranche, to kind of get everything done this year.
Savi Syth: So there's a, I guess not putting you, but just there's a high probability that both tranches kind of show up in 2025. Is that fair?
Paul Sciarra: Yes, extremely high probability.
Savi Syth: Okay. I appreciate it. Thank you.
Paul Sciarra: Sure.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Bill Peterson with JPMorgan. Please proceed with your question.
Bill Peterson: Yes, hi, good afternoon. Thanks for all the details on the call. Wanted to come back to the defense applications, and acknowledging the second airplane and some of the work you're doing there. I guess first, when you think of this opportunity, is this including combat missions, or are these more logistics and other things? Are you able to expand your market opportunity? And if so, how do you view the market opportunity longer term? And I guess with the changes in Agility Prime, what does it mean for your existing programs? Would we expect that this would - in fact shift more towards hybrid, potentially hydrogen hybrid, or some other applications? Just trying to get a sense for what the market opportunity looks like, and how we should think about it over the next few years?
Paul Sciarra: Hi, Bill, this is Paul. I'm happy to sort of pick that one up. So, with respect to the sort of broader government opportunity look, it is the case that the army, for example, operates the largest number of existing rotorcraft, and many of those are sort of state-of-the-art technology circa 20 or 30 years ago. So there are opportunities for lots of important modernization, across a very large fleet. And that's just one customer of quite a few branches. Not to mention sort of other opportunities in government writ large. With respect to Agility Prime, look, that has served the purpose that we always expected it to serve, which is an important stepping stone, and an opportunity to demonstrate capabilities that, would then be applicable to other programs and other customers in government. And on that count, we feel really good about the progress. I won't obviously repeat that work, but we're really pleased that we got all of that done. And I think it sets us up for success, in terms of both our visibility to, and our capability to execute against other programs down the line. Regarding hybrid, certainly for government customers, longer range, is a priority. And we feel really good that we already had an opportunity to demonstrate that, this aircraft can have other energy sources plugged in, to get that longer range. So I think that the changes in Agility Prime, are very much in line with the technical trajectory that we've already demonstrated, both a hybrid longer range, and pieces like autonomy that we obviously had an opportunity, to acquire with our acquisition of Xwing.
Bill Peterson: Yes, thanks for that. And then I wanted to follow-up on the, on the commentary around the TIA flight testing in the next 12 months. And what does that mean, I guess in terms of the ramifications for when that can mean entry in the service? If this happens over the next 12 months, should we assume that training service is kind of more of a 2027 timeframe in the U.S., is there some kind of lag after that process? Maybe just need to understand a bit more of what this flight testing, TIA flight testing really means?
JoeBen Bevirt: Yes. Thank you. So we're really excited about the momentum we're seeing, as we take the five aircraft that we're flying today and then we anticipate, and run all of the internal flight test against the FAA flight test. I think as we mentioned earlier, having the FAA pilots who will be doing these TIA flight tests here with us, running these flight profiles in this simulator, watching our pilots fly many of those inhabited was, was fantastic and laid the groundwork for it. So we're seeing a ton of momentum really looking forward to beginning the TIA flight test. And I think as you can think about this, and I think about this and I think about this as that we're in the home stretch, and once - we've gotten into the TIA flight test, we're, we've got the finish line of type certification in our sites. And so, I'm very pleased with the momentum we're seeing, the engagement we're seeing from the FAA, across all the different levels and yes, excited about the launch of, of operations in Dubai as well.
Bill Peterson: Thanks, JoeBen and Paul.
Operator: Thank you. Our next question comes from the line of David Zazula with Barclays. Please proceed with your question.
David Zazula: Hi, thanks for taking my question. Didier or JoeBen, following up a little bit on that. Just wanted to make sure I understand the change in language you guys used regarding passenger operations. I think last year you said something like, as early as the end of 2025 and this quarter I think you said targeting later this year or early next year, maybe unpack a little bit. The change in language. Was there something that drove that? Are you expecting something different, or is this a finer point in what you're trying to say?
JoeBen Bevirt: We are seeing fantastic momentum and a great lean in from the GCAA, but we, there is, there's still work to do, and once we get the aircraft there and begin in market testing, we'll have better fidelity on that timeline.
David Zazula: Great, thanks. And then if I could just follow-up a little on Savi's question. What do you have right now? I know you've mentioned the tail and a couple subsystems. What do you have for conforming systems, and what's the plan on building producing conforming systems, as you ramp up towards the TIA test phase?
Didier Papadopoulos: Yes, thanks for the question. We talked about the sort of the pyramid of the airplane in the past few times where at the bottom you got some of the smaller components, you know, electronics and such and then you move into the subsystems systems and the airplane. We kind of were driving with Pathfinders on many of these, you may recall we talked about flight control computer and detail and so on. This year you'll see expansion and acceleration on all of these layers of that pyramid. So we have multiples of electronics components now already built, conforming stage and we'll be going through environmental quality testings and so on. On the airframe side we're moving into the fuse testing, and some of the sub components of the fuse, for example. And then we're also moving into some of the lower level aspects of software, electronics and so on. So it's really across all of the aircraft. And that's exactly where we want to be at this point in preparation for TIA.
Paul Sciarra: Yes, and sorry, this is Paul. I just wanted to sort of jump in on one thing. Look, this question of conformity, is one that I know lots of folks in the industry are talking about, and we've certainly worried that there's been a little bit of confusion, about what we mean by conformity, relative to some others. For us, conformity means something really very specific. That's like an aircraft made up of parts and subsystems for, which the FAA has already approved the design requirements, the manufacturing processes, and in some cases the test plans. So that means you can't be FAA conforming until you receive approval from FAA on these documents. That's part of the reason why we've been so focused and have been trying to focus you, on the certification chart and sort of where we stand on that, with respect to certification. Because, look, without agreement between the OEM Joby in this case, and the regulator on exactly how the testing will be conformed at the component level, the system level, and then all the way up to the aircraft level, there's still a lot of remaining uncertainty. And the progress on the chart is therefore highly coupled, to what you can conform and when you can conform it. So that's obviously a little bit different than I think other people are talking about, with respect to conformity. Maybe it's a might be conforming or will be conforming, or they think it's going to be conforming. For us, when we say conforming, we mean that it has all these very specific pieces of documentation already in place, and approved by the FAA.
David Zazula: That's very helpful. Thanks, Paul. Thanks, Didier.
Operator: Thank you. Our next question comes from the line of Edison Yu with Deutsche Bank. Please proceed with your question.
Edison Yu: Hi, thank you for taking my question, and congrats on the progress you made during the quarter. So my first question is, so we know, like, one of your competitors is competing for a program of record with DoD using the hybrid eVTOL. So is there anything that would technically stop you, for competing for this?
Paul Sciarra: Hi, this is Paul. As we mentioned a number of times, I think our footprint and visibility inside of the DoD, is one of the best in the industry, largely owing to the deliveries that we've already done on the sort of existing Agility Prime program. With respect to visibility on programs, I think we've got a lot of that, and there's certainly nothing that prohibits us, from ensuring that we find the right opportunities, and can execute against them.
Edison Yu: Okay. Got you. So my second question is about like, what's your latest thinking on getting a pilot in the latest version of the aircraft flying at a high altitude? So would you need to do this first in the U.S. before attempting in UAE?
JoeBen Bevirt: Thanks, Laura. So as I mentioned, we have five aircraft in our flight test fleet, and we're flying those both remotely and inhabited. We you mentioned high altitude. I think we're the only company in the industry that has flown to high altitude that, has flown to high speed that, has really validated a significant portion of the performance envelope, and the capabilities of our aircraft. And we're, we're very pleased with the performance that we've been able to achieve, and really looking forward to expanding, continuing to expand the envelope and also prove that out inhabited.
Edison Yu: Okay. Got you. Yes, I appreciate it.
Operator: Thank you. Our next question comes from the line of Austin Moeller with Canaccord Genuity. Please proceed with your question.
Austin Moeller: Hi, good afternoon. So just my first question here. If we just lay out the fact pattern. So Dubai expects passenger flights this year, or early next year. They expect to have established eVTOL routes within 20 months, but the FAA TIA flight testing, of the type conforming plane, is supposed to happen within the next 12 months, and you're expecting to build a fully type conforming full size aircraft in 2025. So with the aircraft that you're shipping to Dubai, would Dubai be waiting for FAA approval, to fly passengers, or would they maybe fly some on a demonstration, or waiver basis in between cities or within Dubai?
JoeBen Bevirt: Thanks Austin. Yes, as you mentioned, we're very excited about getting one of the aircraft that we're currently flying to Dubai, to begin doing in market testing, and excited to be have the opportunity to begin carrying passengers either late this year, early next year. And we're also extremely pleased with the rate of progress that we're making, and the, the multiple aircraft that we have currently, going through our manufacturing process in Marina. And as Paul mentioned, 95% of the composite parts that, we're currently building are conformable. It's indicative of the really strong momentum and as Paul mentioned, the huge mountain of work that we've done that, has laid the foundation to allow us to be building these FAA conforming aircraft, and FAA conforming test articles, which is so vital to being able to now have line of sight to the TIA.
Austin Moeller: Okay. That's helpful. And just a follow-up, do you have any commentary around the effect of rotor wash on the Vertiport infrastructure?
JoeBen Bevirt: Yes. Thank you very much. This is a critical element and something that is foundational to the design of our aircraft. We have one of the lightest disk loadings in the industry, maybe the lightest disk loading in the industry, which results in substantially lower outlash speeds. And this has been validated by work that we've done with NASA and I think one of a huge unappreciated value of our aircraft design and something that we think is going to be crucial as we move to market.
Austin Moeller: And that would mean that the tip speed on the props is lower than competitors. Correct?
JoeBen Bevirt: We have very low tip speeds and large rotor diameters and the combination results in slower outwash and less particulate and that sort of thing. So we're very, very pleased with the results from both the NASA studies and from our years of flight testing.
Austin Moeller: That's great color. Thank you.
Operator: Thank you. Our next question comes from the line of Amit Dayal with H.C. Wainwright. Please proceed with your question.
Amit Dayal: Hi. Good afternoon. Thank you for taking my questions. With respect to the Toyota investment, is that straight equity or is some of that going to be in kind?
Paul Sciarra: Hi, Amit, it's Paul. So all of the $250 million tranches on that investment are straight equity and importantly, not this investment, none of the other Toyota investments had warrants or sort of other kickers as part of the deal.
Amit Dayal: Understood. Thank you. And then for the Dubai operations, these are just going to be easy aircraft sales to that operation, right? Or are we also expecting to generate or participate in any revenues from those operations in the future?
Paul Sciarra: Yes, thank you for that question and allowing us to clarify. These are Joby owned and operated aircraft and will be operated by the Joby team based in Dubai.
Amit Dayal: Okay. Any color on the unit economics of the operations or is that a little early for us to dive into?
Paul Sciarra: A little bit early yet.
Amit Dayal: Okay, that's all I have, guys. I'll take my other questions offline. Thank you.
Paul Sciarra: Thank you so much.
Operator: Thank you. And we have reached the end of the question-and-answer session. And this also does concludes today's conference. You may disconnect your lines at this time. We do thank you for your participation.